Operator: Good afternoon, ladies and gentlemen, and welcome to the Champions Oncology Third Quarter Fiscal Year 2022 Earnings Call. At this time, all participants have been placed on a listen-only mode. And we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Dr. Ronnie Morris, CEO of Champions Oncology. Sir, the floor is yours.
Ronnie Morris: Good afternoon. I’m Ronnie Morris, CEO of Champions Oncology. Joining me today is David Miller, our Chief Financial Officer. Thank you for joining us for our quarterly earnings call. Before I begin, I will remind you that we will be making forward-looking statements during today's call and that actual results could differ materially from what is described in those statements. Additional information on factors that could cause results to differ is available in our Form 10-Q and Form 10-K. A reconciliation of non-GAAP financial measures that may be discussed during the call to GAAP financial measures is available in the earnings release. Overall, we had another great quarter in which we had record revenue and record bookings as we continue to execute on our plans for growth. As discussed on our year-end call, we presented our transformative strategic vision for the next several years, highlighting the uniqueness of our TumorBank and related data. I indicated that we will continue to grow our existing oncology research services business while also expanding into new high value opportunities that leverages our data and platform, which would affect our longer-term growth. While executing on this long-term plan, we continue to be very excited about our existing core business as it continues to set quarterly record revenues, thereby enabling us to fund our investment for the future. We continue to see a lot of demand in our oncology research services, which include our in vivo, ex vivo and biomarker services. We continue to advance our SaaS Lumin platform, a data interpretation software clients use to analyze translational data as well as to derive insights from proteomic, genomic and transcriptomic data sets. Through Lumin, companies have the ability to query our unique data either by themselves through the Lumin Workspaces or by consulting with us through Lumin Acuity services. In all, we have created a multifaceted data analytics platform centered around Lumin. I will reiterate the message conveyed throughout the year, which is that we are encouraged by the initial success of our Lumin launch and we envision it contributing to the overall growth of the company in the next two to three years. However, it is still too early to make any definitive projections regarding the magnitude of its future success. We continue to be excited by the build-out of our discovery platform. While still early, our internal programs are showing promise and we look forward to seeing how our computational approaches perform as we establish our therapeutic pipeline. External validation to our platform has come through a co-development therapeutic partnerships with Fannin Innovation Studio and a unique T cell receptor discovery partnership with GigaMune. We look forward to seeing how the products of these partnerships add value to our emerging discovery effort. In summary, during the third quarter, our oncology research services business continued to expand and delivered strong financial results while we simultaneously continue to capture more value from the proprietary data that we create. Our innovative SaaS business continues to grow and we are advancing our therapeutic targets through the pipeline. Now let me turn the call over to David Miller for a more detailed review of the financial results.
David Miller: Thanks, Ronnie. Our full results on Form 10-Q will be filed with the SEC later today. Our third quarter financial results were strong with record revenue of $13.2 million compared to $10.8 million in the year ago period, an increase of $2.4 million or 22%. For the year, our revenue growth is at 19%, putting us on target for the higher end of the guidance provided of 15% to 20% for the full year. Our operating income for the third quarter was $829,000 and our adjusted EBITDA, which excludes stock-based compensation and depreciation was approximately $1.5 million. Focusing as we do on adjusted EBITDA, our third quarter gross margin was 52% compared to 57% for the period ended January 31, 2021. As pointed out on our third quarter call last year, our cost of sales for that quarter was atypically low, resulting in the inflated gross margin of 57%. As such, the current quarter's gross margin of 52% is not representative of a downward trend. Rather, the nine months ended January 31 comparison is a more accurate representation and shows an improving margin to 53% compared to 49% for the same period last year. We're seeing the leverage in our operating model as the past investment to adequately support our growth is being realized. Additionally, the gross margin improvement continues to be driven primarily from our core business with room for additional expansion as higher margin products will likely contribute more meaningfully to total revenue in the future. Total cost of sales was $6.3 million compared to $4.6 million in our third quarter last year. The increase was mainly due from increases in compensation, mice and lab supply expenses resulting from our growing study volume. R&D expense was approximately $2.2 million compared to $1.9 million in the year ago period, an increase of $300,000 or 16%. As we indicated, we would be ramping up our R&D spend, investing in our discovery platform. We anticipate the trend to continue but also project our revenue growth to offset the additional R&D spend so that our operating results remain positive over the long-term. We reiterate the message that we will sacrifice some short-term profitability for long-term growth opportunities. Sales and marketing expense was relatively flat with $1.5 million in expense this quarter, an increase of $56,000 or 4% compared to $1.4 million in the year ago period. Our G&A expense was $1.7 million for the quarter, compared to $1.4 million a year ago, an 18% increase. This was primarily due to an increase in compensation and IT expense as we invest in upgrading our IT infrastructure to support company growth. In total, our cash-based expenses were $11.7 million for the third quarter of fiscal 2022 compared to $9.3 million in the same period last year. Now turning to cash. At the end of the quarter, we had $8.7 million of cash on the balance sheet, an increase of approximately $4 million, nearly doubling our cash balance from the prior quarter. Net cash generated from operating activities for the current period was approximately $4.3 million due to improving cash-based operating results and continued strength in our bookings. We anticipate that cash generating from operating activities will continue to grow over the long-term, likely leading to a growing cash balance. Cash used in investing activities of $400,000 was primarily due to fixed asset purchases for our laboratories. In summary, we had a strong financial quarter, hitting a new revenue record of $13.2 million. Our adjusted EBITDA was a healthy $1.5 million and with the underlying strength in our research service business, we're positioned for continued revenue growth while we expand our other revenue streams and platforms. We are excited about the company's continued success and look forward to our next quarterly call, which since it's our year-end, will be in late July. We would now like to open the call for your questions.
Operator: Certainly, ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question is coming from Matt Hewitt from Craig-Hallum Capital Group. Your line is live.
Matt Hewitt: Well, first off, congratulations on the strong quarter, and thank you for the directionally pointing to the upper end of the range. I'm curious about the pipeline. There's been a lot of questions here recently regarding the health of biotech and pharma given the pullback in some of the stocks and questions about what that could mean from a funding standpoint. But as you look at your customer base, the customers you're speaking to on a regular basis that are signing up for new services, are you seeing some of those challenges? Or are you still seeing strong demand for your services?
Ronnie Morris: We're seeing – we're still seeing strong demand for our services, Matt. We understand that there could be a lag and clearly, biotech is going through a little bit of a downturn. So we're not blind to it. But as of right now, where we stand, we have pretty good visibility for a couple of quarters. We feel that the pipeline is very robust and there's just a lot of demand for our services.
Matt Hewitt: That's great. And then regarding the Lumin platform, obviously, there’s been a lot of excitement there over the past 1.5 years now almost. Maybe an update on the number of licenses or number of customers that have signed up for that platform?
Ronnie Morris: Yes. So we spent the better part of – I think we rolled it out, I think, last August, but it was a soft launch. So I would say we’re more or less about a year and maybe a couple of months from our true launch. I think we spent a better part of last year learning about our customers. And I think that’s where some of these announcements about Lumin Acuity and Lumin Workspaces are coming into play. What I think we’re finding is that there’s a couple of different needs out there. So I’ll just say a couple of quick points about that. Number one, I think we spent the last year really improving upon the platform and the analytic tool. So I think that our users would tell you that the analytical tool that we have now is much more robust and looks very different than it did even a year ago. So we continuously listen to our customers and try and improve upon that. Two, I think that we’ve come to realize that there’s certain customers that really want to use Lumin really as a software to analyze the analytical tool – as an analytical tool for their translational work, for their data that they get back from studies. And I think there’s also a segment of the population that actually wants to use the Lumin platform to actually extract data and to extract insights, not necessarily having to do with their own translational data, but just to use the data itself. So that’s that – as we continue to move down this path, we’re starting to realize that there are different groups of customers with different needs. So I would say we’ve gotten more sophisticated in both of them. We’ve also changed – did a lot of different changes regarding we just have a base license that was very, very low. I think we mentioned this on a couple of calls ago where we were just trying to get people in and then get them used to the Lumin platform and trying to get them to buy upgrades to different modules. We recently, maybe two, three months ago changed that policy, and we’re now just selling a fully loaded model. So it’s kind of hard to compare because there’s been a lot of moving and shaking. We are still adding subscribers, probably now at the brisk rate that we were six, seven months ago only because where we have taken a different attack. Overall, the platform is growing, but we’re still learning a lot. We still think that there’s a lot of value there. We’re hearing a lot of good positive comments from our customers, but it’s still in those early growing stages where we’re still improving on the product a lot. We’re still changing some of our offerings and the way we sell it and also trying to understand what the needs of the customers are.
Matt Hewitt: That’s really helpful. Thank you. And then maybe one last one and I’ll hop back into the queue. But you’ve signed three partnerships, Alloy, Fannin and GigaMune. And I’m just curious how should we be thinking about those partnerships? And I guess, more importantly, as you look at your internal programs, what kind of cadence should we anticipate on additional partnerships over the coming quarters and years? Thank you.
Ronnie Morris: Yes. So all three partnerships are a little bit different. The partnership with the GigaMune is really a discovery partnership. It’s a discovery partnership for targets, looking at the novel T cell receptors, that’s based off of a unique platform that we have with an autologous tumor infiltrating lymphocytic platform where we both have the patient’s tumor and their immune system in the same platform. And we’re leveraging the ability of GigaMune who has a lot of expertise in that area to be able to figure out the novel receptors, T-cell receptor, so that I would define really as a discovery platform. We’re discovering receptors, we’re discovering targets. The Fannin partnership is a partnership where we’ve identified a novel target. We needed to identify the right type of a compound to be able to hit that target. Fannin has a unique platform based on a Raptamer technology. And so we’ve partnered with them where we bring the target, they figure out how to attack that target. And together, we’re going to go and develop that molecule. The Alloy is an incredible group based in Boston, do a lot of good work. And they’ve again taken one of our targets, and they’re helping us build an antibody for that target. So all kind of different types of "partnerships" some are collaborations, some are partnerships. And in the end of the day, we continue to be excited about the data from our platform and how we’re finding different unique targets. And we really have a certain amount of bandwidth and there’s only a certain amount of targets that we can continue forward. As you heard from David, we can fund this to a certain extent, but we also have to be careful. So right now, we’re taking the most exciting targets that we see. We’re doing a lot of internal work to validate them to make sure that they are true targets. We’re trying to find the appropriate partners, either it’s building – helping us find the right molecule or the right compound. Some of it’s just trying to find who would be the best partner for other areas. So for right now, that’s what we have. We’re excited about where we’re going to be moving forward. And I don’t know that we will have any more announcements this coming quarter.
Matt Hewitt: Got it. Great. Thank you very much for the update.
Ronnie Morris: You’re welcome.
Operator: [Operator Instructions] There are no further questions in the queue. I will now hand the conference back to our host for closing remarks. Please go ahead.
Ronnie Morris: Thank you very much. So thank you for joining us for our quarterly earnings call. It’s an exciting quarter. As always, we continue to expand, to grow. We’re very excited about our opportunities on multiple fronts, and we look forward to updating everybody on our next conference call after – it will be the end of the year conference call. So with that, everyone, please have a very good evening. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today’s event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.